Operator: Good day, and thank you for standing by. Welcome to the Peyto’s Year-End 2021 Financial Results Conference Call. At this time, all participants are in a listen-only mode. After the speaker's presentation there will be a question-and-answer session.  I would now like to hand the conference over to your speaker today, Darren Gee, Chief Executive Officer. You may begin.
Darren Gee: Thank you very much, Catherine. And good morning, ladies and gentlemen. Thanks everybody for tuning in to Peyto’s Fourth-Quarter and full-year 2021 results conference call. Before we get started today, I would like to remind everybody that all statements made by the Company during this call are subject to the forward-looking disclaimer and advisory that was set forth in the Company's news release issued yesterday. In the room with me today, we've got the entire Peyto management team, our President and Chief Operating Officer, JP Lachance, is here to answer your questions, as is Kathy Turgeon, our Chief Financial Officer, we've got Scott Robinson, our VP Business Development, Dave Thomas, our VP Exploration, Todd Burdick, our VP productions, so you can ask them all questions about the operations as they're going, Lee Curran, our VP of drilling and completions is here to answer your questions.  Derrick Zember our VP of Land this year as well. And we've got our newest VP, Riley Frame, who's our VP of Engineering. So they are all here to answer your questions about the quarter and about the year and about Peyto. And before I get started with my comments about our results today, I do want to recognize the efforts of both our office and field personnel this past quarter. And for all of 2021 to that matter, we had a busy quarter of operations. We drilled some fantastic wells and we hit all of our year-end targets for production and costs, so kudos to the team for continuing to deliver reliable energy to our  its life-saving energy if the truth be told and considering we had several minus 40 degrees C days in Alberta this past winter. I know me for one, I'm very appreciative to be able to come back inside my nice farmhouse when it's like that outside, and it's something that really none of us should take for granted. And the reason that we have that luxury is in those small part due to the hardworking people here at Peyto. So great job, everybody. Okay. Onto our fourth quarter results. Operationally, as I mentioned, it was a busy quarter with the strengthening natural gas prices. We shifted more of our drilling to leaner gas formations in the Spirit River, the Notikewin, the Falher, the Wilrich formations made up close to 70% to the targets that we drilled in the quarter.  That, of course, brought on more gas than liquids in the quarter. And then we also had an outage at a  plant during the quarter, so that forced us to keep some of the liquids in the gas stream. That species mix of formations has changed once again. The first quarter of 2022 is more focused now on liquids-rich Cardiums. I think we've got about a 50-50 split between Cardium and Spirit River in the first quarter. So that we can take advantage of some of the high oil prices, and then the  condensate that comes from the Cardium wells. So we should see our liquids percentage rise again as those wells come online.  The five drilling rigs that we have running, they ran well through the fourth quarter and we exited the year above -- just above our 100,000  target, which was really just in time for winter gas prices to take off. We were also active buying new land in the fourth-quarter. That's something that we hadn't been doing for a while, particularly when land sales were shutdown. So we added more drilling inventory to the hopper for the future. Some 75 locations that we internally identified are on those lands. And I think sometimes people forget that's a big part of the  strategy to go out and find our own drilling prospects that we can develop ourselves.  But that's the way we've always done it for the last 23 years and I suspect that's how we'll keep doing it for the next 23. The other thing we do ourselves is build our own facilities. And we started construction of our 11th gas plants in the quarter down in a new area South Brazeau called Chambers. We prepped the site and pound to piles and got ready to receive. All the equipment that we were moving out of inventory. That work has continued into the first quarter and hopefully we'll have that new plant in service by the end of the first quarter. And have more processing capacity down there. I think the team did a great job controlling costs in the quarter as well.  Outside of royalty costs, of course, that rose with commodity prices are all our other cash costs were down 10% year-over-year in aggregate at much lower interest costs and lower G&A that offset a little higher transportation costs. Of course, that higher transport got us some higher prices. So that was worth it. But all in all, our cash costs before royalties were just $0.79 per Mcfe for opex transport G&A and interest. By far the lowest in the industry, and we think we can keep those costs before royalties close to that level in 2022. So fantastic job, guys, controlling costs. Part of what's helping there of course, is better utilization of our facilities. We have this incredible infrastructure asset that we get to fill up. We have capacity in it, and so we're filling that up. And of course, as we fill that up, we get much higher utilization and lower per unit cost. And that's just one of the benefits of owning  processing plants. On the commodity price side, we didn't realize the full benefit of the price rice over 2021, as much of our production was previously hedged as per our mechanical hedging program. But we will continue to take the future price off the table as we always do, which secures our revenue for planning purposes. And so our realized prices are expected to continue to rise. I suspect we'll probably come under some criticism for our hedging losses right now, but this program has delivered over the longer term. We've been doing it this way since 2003. And we're in this game for the long run. We truly believe in natural gas is the future and so we need to be consistent with this program for it to pay off over the long term. We continue to lower our debt with excess cash flow. Our long-term debt was down a little over $100 million in 2021 and really that's just the start. We expect to significantly reduce our debt again in 2022, so that by the end of '22 we should have less than one times debt to EBITDA, which is the strongest balance sheet Peyto have ever had in its history. After that, I expect we should be in a position to start raising our dividend again especially since our earnings will have also grown very significantly over that time. So all in all, a great fourth quarter, very good 2021 particularly considering where we were a year ago.  Cash flow is way up, earnings are way up, and our margins are much better. Our capital efficiencies, particularly on the organic side, was the lowest ever at 8,000 flowing BOE this past year and are finding costs. FD&A costs were $0.97, which is again the lowest in the last 19 years. So efficiency-wise, we are doing a fantastic job and we're in, I think, a very strong and advantageous position right now and that's only going to get better as we go into 2022. That's probably enough for me to ramble on about the quarter. Catherine, why don't we stop there and throw it open to questions from those investors listening in?
Operator: Thank you. . Please stand by while we compile the Q&A roster. . We have a question from Nathan Schwartz. He's a private investor. Your line is open.
Nathan Schwartz: Hello. Two questions. In the past, you've written in your monthly report about the potential to term out more of the debt. I'm wondering if you could give us an update on that, your efforts there? The second question is with the stock where it is, I wonder whether stock buybacks are potentially in the mix.
Darren Gee: Thanks, Nathan. Great questions. So first on the term debt. We do have a $415 million of term debt right now out of our total debt, just a little over a billion. So not quite 50%, but a very good portion. That's turned out at various renewal dates over the next, I think, about seven years. On average, I think the interest rate is around 4% on that. So good coupon rates. And yes, those are with a few large insurance companies, so good counterparties. They have indicated, they're very supportive of Peyto, and want to continue the relationship we have with them.  Specifically, we termed out, renewed, I guess, one of the notes. When was that? Last October, for another seven years. So we have good support from them and they're offering us pretty good terms. We're sort of aggressively paying off our revolving debt right now. And we'll lower that quite significantly in 2022. So we really have to, I think, decide at some point probably towards the end of 2022, just how much debt we want to carry going forward and what that blend of debt will be in terms of whether we want long-term fixed debt or whether we want revolving debt. The easy thing obviously is just to keep paying off the revolving debt and then we could retire the term debt as it comes due.  But some of that term debt is quite attractive capital at very low coupon rates. And I think if interest spreads don't blow too badly and we can continue to access capital at that low cost then it makes sense to take advantage of that. As I mentioned, our balance sheet is going to be the strongest it's ever been by the end of 2022 and so I don't think we have to pay off more debt necessarily, but we're all aware of the defund oil and gas movement that's behind the scenes that's putting pressure on the banks in particular. And we definitely don't want to get caught up in that. So we want to make sure that we're in a strong position moving forward with respect to our debt.  But the other thing is as we're growing, we're probably going be close to 110,000 BOEs a day by the end of this year. And we're planning on similar capital program at this point, likely for 2023. So that would deliver some more growth and that would really put us in a position to look at what we're sort of debt rating we'd be at. And I do believe that probably sometime in 2023, we'd probably be very close to being triple B minus or investment grade, which opens the door even more for attractive -- very attractive pricing on longer-term debt. And I think that's something we definitely want to look at. So its -- that option is for sure on the table. But again, it's all competition for capital or for our cash flow, I should say. I mean, do we put the money into the capital program, do we pay our debt with it? Do we pay dividends with it or to your second question, do we buy back stock?  And so sure, the buybacks we've had an NCIB in the past. We didn't act on it, but we have had that in place in the past. That's one other lever we can pull to return capital to shareholders. Debt repayment, dividends, and share buybacks. It's nice to have all this competition for the capital. And quite frankly, the capital program and the returns that we're generating on dollars that we're putting to work are fantastic as well. That's great attention to have on the cash flow. I think we will get this debt reduced in 2022 and then we'll look at does it make sense with where the share prices out to put in an NCIB.
Nathan Schwartz: Okay. Thank you very much.
Darren Gee: . Thanks for the question.
Operator: Thank you. And I'm showing no further questions. I'd like to turn the call back to Darren Gee, for any closing remarks.
Darren Gee: Okay. We did have a few questions emailed in overnight, so I do want to address those. The first one was with respect to our Big Sunny storage reservoir, was there any update on that? And I think for an answer there, I might just turn that over to Scott Robinson, our VP Business Development, who has been looking after our Big Sunny , Scott, can you tell us what your thinking is?
Scott Robinson: Sure, Darren. Thanks for the question, whoever asked it out there. Big Sunny, we acquired that asset a few years ago when the gas market was in turmoil. We still look at it as being very valuable future component. We scoped out the cost to convert it to a full storage scheme, but we haven't acted on any of that at this point in time. I think we're just reserving and for that purpose, we spoken in the past as well about possibly deploying that for speeds for carbon storage and sequestration. Since that time, we've studied a number of other reservoirs and I don't think Big Sunny would play into that, although it is situated by one of our gas plants. So you never know, but I think our preference will be to continue to keep that reservoir on the shelf as a potential future gas marketing diversification asset. If we choose to invest in it. The gas market is very dynamic, has been over the last few years, I think we'll just watch it for a little bit further here before we make any commitments to a firm direction on that asset.
Darren Gee: Okay. Thanks, Scott. Yeah, definitely, the basin is growing, so likely over the longer-term, we are going to need more storage. So that exciting asset is a nice want to have in our back pocket. Second question that came in was with respect to the Cascade power plant and our ability to potentially supply more than just our contracted volumes there. Todd, do you want to talk a little bit about where we're at with hooking up to Cascade, where they're at maybe?
Todd Burdick: Sure. Dave, we get monthly updates and everything appears to be on schedule from their end as far as the information that we get. We purchased most of the pipe for the pipeline and we will start putting that in the ground, probably Q4 of this year. We'll have enough infrastructure to provide more than what we've contracted with cascade now. So that will allow for some flexibility in the future depending on what things play out going forward. And we did get a connection to them in the summer time. I think we talked about that in our Q3 announcement. So we do have the pipe to their site and just waiting for them to contact us when they are ready to start flowing some gas, and we will be there when they're ready.
Darren Gee: What's the latest data you've seen from them since their projects, however they doing?
Scott Robinson: They've got all their major equipment with jets put in and I think in end December, they've got the turbines in, they were working on their heat recovery steam generator within so a lot of the buildings are up. Some of the buildings they can't be put on until they get those big pieces of equipment in but all of the big equipment is in the last update that we've got.
Darren Gee: So they are not expecting any major delays or?
Todd Burdick: No. Not that we know of.
Darren Gee: That is quite exciting.  that they are out right now that the gears in place. So there's a lot more certainty on that 2023 startup timing.
Todd Burdick: I think they mentioned they are at their full peak manpower right now, probably until the summer time.
Darren Gee: Okay. That's great to know considering how tight manpower is out there, that you guys have already got all their people in place. Just as a reminder to those listening in that Cascade project, we're contracted to send them 60 thousand gigajoules a day, and a gas purchase agreement we have with them for 15 years. And considering where power pool prices have been over the last year, we would realize some very attractive natural gas price realizations for that gas. So we're quite excited about being able to supply the gas for some very clean, some of the most efficiently produced electricity in Alberta. And we're looking for even more opportunities to do that here at Peyto. One other question that was brought up, and maybe I'll ask this of Derrick, our VP of land. We talked a lot about our Cecilia acquisition over this last year, how successful we've been with that. We just obviously closed another acquisition here, a small one tuck-in, that gives us opportunities. We bought a bunch of land in the year, 44  sections we noted. But we do other deals, Derrick, behind the scenes, that we probably don't talk much about. Can you elaborate on any of those? Yes. For sure, Derrick. In addition to 54 gross sections we acquired in Cecilia and the 44 sections acquired at Crone sales, we're also active on the smaller tuck-in deal front. In total, we added an additional 24 sections through farm-ins, swaps, pooling. And on these lands Peyto has currently identified 38 new drilling locations in which we were already able to drill a total of 14 wells throughout the year while the business development team continue to pursue larger asset yields like Cecilia and . The various teams continue to complement those efforts in 2022 was ready to drill inventory through farm-ins, pooling, swaps, plan sales, and other tuck-in type acquisitions.
Derrick Zember: That's awesome. Okay. I guess the only other question I had actually came from an analyst last night. They were asking about, you know, these current commodity prices that we have and obviously they're changing quite dramatically week-by-week here as geopolitical events unfold around the world. But the question was, payout times have shortened even more for a lot of oil guys. And how our economics in terms of our future payouts and rate of returns is looking? And so maybe I'll ask our newest Vice President Riley, if he could provide a little color on just what are the most recent economics that we're running based on the strip that we see today and what kind of results are those showing us for our type curves, Riley?
Riley Frame: Yes. So we're seeing some really good rates of return across almost all of the species. Both the liquid-rich and the gas-rich stuff. Almost everything that we're doing is over a 100% rate of return with payouts under a year here. So our program for the 2022 year here is going to look a lot like last year as far as what we're going to drill. And despite the new plant capital that we have in the program, as well as some inflationary pressure, we expect to see some great returns. So the team is looking forward to another strong year here in 2022.
Darren Gee: That's awesome. All right. Well, if there's no more questions to Catherine, I want to thank all the listeners for listening in to our conference call this morning.
Operator: Pardon me. We do have one question from Michael Biehl with Devonport. Your line is open.
Darren Gee: Oh, okay. Great.
Michael Biehl: Sorry for the late entry. If you could just remind us, I'm sure it's in here somewhere, roughly, what percentage of our 2022 output is currently hedged? And then if you could just talk a minute about the longer-term opportunities for gas from  fields, finding their way into the export market, just remind us what's going on in that world, and maybe the timetable. Sorry for waiting into the last minute.
Darren Gee: No, no problem, Mike. Good questions. So yeah, we've got about 68% of our gas hedged for this winter. Those were hedges that we started putting in place a year ago and we slowly layered in over time to protect us. And obviously the price rose a lot as we went through last summer and into the fall but we've got a pretty nice attractive price for that. The remainder that's floating about a third of our gas that's floating through this winter has basically diversification to three other markets. We got a little bit exposed to the ACO spot market.  And we always need to have just a bit exposed even though it's covered through some Empress Service at the border in case ACO disconnects. We do need to have a little bit of operational flexibility, so we don't want to physically commit some of that volume just in case we have a plant go down or something on any given day, but we do have more than enough service at the border to make sure that we don't get caught with any ACO price disconnections. About half of that unhedged volume this winter is headed down the main line halfway to Emerson. And then we compare that with other synthetic when we choose to get it to Darren or Great Lakes or wherever we'd like to send it. And then about 12%, 15% of that volume -- that unhedged volume heads off to the venture markets so that's just outside of Chicago.  This coming summer, we've got a little over 75% of our gas already hedged fixed prices on that. I think the average price there is just a little close to $3. So it's less than the strip, but still a very attractive price for our economics and relative to what we've seen in the past too. And we'll see what happens with this summer. Despite the fact that the strip today might chose something better than that, you just don't know until you get through the summer and what the prices will actually end up being. The 25% that isn't hedged over the summer, again, a lot of that heads down the main line to Emerson to venture and then we've got the rest exposed there at Empress. And then next winter we're starting to lay in hedges for that period too. That price has come up and we've been taking advantage of the forward curve flattening out a little bit and rising. So we've got about 60% of next winter locked away. I think the price there is $345, $340, something like that. So pretty good price for winter. And we'll continue to layer on top on that so that by the time we do get to next winter, we want to probably have about 75% locked up. And again, the unhedged portion is dedicated down the pipe to NYMEX or venture dawn markets. So we're not exposed to really any ACO disconnects on any of that volume. And then beyond that, it falls off.  Summer '23, we are starting to lay some hedges in. Again, the curve is in pretty steep backwardation. So we're slow in picking up some of those future prices. But we do want to sort of layer those and over time as we always have and as that forward curve flattens out a little bit, starts to rise on just overall North American demand and supply will continue to hedge out period out as well. But we have very good diversification in until really we get out into 2024. We do want to leave some more probably basis steels into  and Chicago markets to protect against any dislocations in the ACO market. And then really beyond '24, we've got the LNG Canada project kicking in sometime in '25 probably late '25.  And that is going to be quite a dramatic change to the ACO market to have significant volumes heading the opposite direction. The majority of the exports coming out of the Western Canadian base and go either east or south. And so for us to have a completely new direction for exports going west, I think is going to put some interesting attention on that ACO market. And so we may well want to have a lot more volume right back here at home, selling into the local market when that tension arises. We do have a little bit of oil hedged as well, Mike. We've got some WTI that we've been laying in as well. It's a good it's not a perfect hedge for our products, condensate trades as a bit of an offset to oil. But you can't hedge the condensate directly so the WTI is a slightly dirty hedge. But we do lock our butane in as a direct offset to WTI.  So when we lock the WTI then we get a direct butane price. So we are starting to lease some hedges in on the oil as well. Obviously these are some fantastic prices for oil and the backwardation in that curve is slowly flattening out as well. So it looks pretty attractive. You can get  some dollar oil rate out for four or five years now.
Michael Biehl: All right --
Darren Gee: So that's where we stand on the hedges. Sorry. you had a second question.
Michael Biehl: But now the second question dealt with the 2025 time horizon you were talking about where you could hit a different direction and ultimately, I guess an export market I presume.
Darren Gee: Yeah. It's one of the reasons in our diversification that we use a lot of synthetic transport because those are short-term financial ways to access other markets. We like the basis deals. They are just a fixed cost to get to a market and then you can hedge out that market, or you can float at that market. But it's short-term, and that's the great part about it. If you're to do physical pipe deals, typically the contracts are for much longer term, 10 years or more, and we need to be nimble. We need to potentially be able to redirect the gas in the opposite way depending on how the market evolves here in Western Canada.
Michael Biehl: Thank you. Last question while I've got you, based on where we sit today, would we expect to repay something on the order of what, $150 million, $200 million in debt?
Darren Gee: I think we have higher targets than that in mind quite a bit, maybe double or more than double that. So yeah, we've got -- I think with the free cash flow that we look like we're going to generate in '22, obviously that's based on the forecasts with the strip pricing today and prices change, but we're looking for very material debt repayments in 2022. Like I said, that would take us down under one times debt to EBITDA at the end of the year.
Michael Biehl: Just wanted to hear you say it. Thanks a lot.
Darren Gee: Yeah. It's looking really good. It's definitely one of the goals for '22.
Michael Biehl: All right. Good job. Thanks so much.
Darren Gee: Thanks, Mike, for your questions.
Operator: Thank you and there are no other questions in the queue.
Darren Gee: Great. Well, thanks everybody for listening in. '22 is going to be an exciting year. So check back in on the quarters when we have our calls and we should have lots to talk about. It's steady as you go for Peyto, we've managed to survive for some of the nasty gas prices over the last few years and it's starting to really take advantage now because we've got huge margins that we can keep our costs down and enjoy all of this price rally. They're going to deliver some fantastic results for shareholders too. So, thanks again and we'll be back to you here in a couple of months.
Operator: This concludes today's conference call. Thank you for participating. You may now disconnect everyone. Have a great day.